Operator: Hello, everyone, and thank you for joining us for today's Acushnet Company 4Q '24 Earnings Call. My name is Drew and I'll be the operator today. During today's call, after the prepared remarks, we will have a Q&A session. [Operator Instructions] It's now my pleasure to hand over to Sondra Lennon, Vice President of FP&A and Investor Relations. Please go ahead.
Sondra Lennon: Good morning, everyone. Thank you for joining us today for Acushnet Holding Corp's fourth quarter and full year 2024 earnings conference call. Joining me this morning are David Maher, our President and Chief Executive Officer; and Sean Sullivan, our Chief Financial Officer. Before turning the call over to David, I would like to remind everyone that we will make forward-looking statements on the call today. These forward-looking statements are based on Acushnet's current expectations and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these expectations. For a list of factors that could cause actual results to differ, please see today's press release, the slides that accompany our presentation, and our filings with the U.S. Securities and Exchange Commission. Throughout this discussion, we will make reference to non-GAAP financial metrics, including items such as net sales on a constant currency basis and adjusted EBITDA. Explanations of how and why we use these metrics and reconciliations of these items to the most directly comparable GAAP metrics can be found in the schedules, in today's press release, the slides that accompany this presentation, and in our filings with the U.S. Securities and Exchange Commission. Please also note that references throughout this presentation to year-on-year net sales increases and decreases are on a constant currency basis unless otherwise stated as we feel this measurement best provides context as to the performance and trends of our business and when referring to year-to-date or full year results or comparisons, we are referring to the 12 month period ended December 31, 2024, and the comparable 12 month period in 2023. With that, I'll turn the call over to David.
David Maher: Thanks, Sondra, and good morning everyone. As always, we appreciate your interest in Acushnet and look forward to sharing our 2024 results and future outlook today. Starting on Slide 4, the company delivered fourth quarter sales of $445 million, up 8% for the period, and adjusted EBITDA of $12.4 million. Strong golf equipment sales led by Titleist GT Metals and double-digit gains in gear drove this growth and our team did good work balancing healthy at-once demand while also preparing for several first quarter product launches. Now to full year results. Acushnet achieved sales of $2.46 billion in 2024, a 4% constant currency gain, an adjusted EBITDA of $404 million, a 7.5% increase for the year. These results were made possible thanks to the talented and dedicated associates who make up Acushnet, including our longest-serving teammate who works in golf ball operations and next week celebrates his 55th anniversary with the company. To underscore key themes of 2024, our team generated terrific momentum in Titleist Golf Equipment which increased net sales 7% for the year. Titleist Golf Ball sales in 2024 grew 4%, which is noteworthy given this followed the 2023 Pro V1 launch year when ball sales increased double digits. We generally expect second year sales to be down slightly due to the timing associated with our two-year product cycles. Our strong golf ball performance in 2024 was fueled by balanced growth across our Pro V1 and performance models and strong adoption throughout the pyramid of influence. Titleist Golf Clubs also posted strong results in 2024 with overall sales up double digits and growth in all regions led by the U.S. and Japan. Our SM10 wedge launch in Q1 and GT Metals launch in Q3 were well received and these franchises are in great shape as we start the 2025 season and also plan for the new putter and iron launches. Our Gear segment posted 5% growth for the year, led by gains in our travel category. Again, growth was led by the U.S. market, which was up double digits. FJ sales were off 2% for the year with gains in the U.S. more than offset by declines in international markets. FootJoy has done good work navigating what has been a correcting footwear and apparel market, effectively managing inventories and leaning into high-performance offerings across footwear, apparel and gloves. In doing so, FootJoy delivered improved bottom-line performance in 2024 despite a top-line decline. And in our Other category which is comprised of Titleist apparel and shoes, the key 2024 themes are continued growth of shoes Golf in the U.S. and U.K. and softness in the Asia's specific Titleist apparel market. Acushnet's strong financial performance in 2024 supported ongoing investment across our business and the company's commitment to returning capital to shareholders. For the year, dividend and share repurchases totaled $227 million, bringing our total return over the past three years to more than $850 million. And furthering this commitment to shareholders, I am pleased to announce that Acushnet's directors have approved a 9% increase to our quarterly dividend payout in 2025 to $0.235 per share. This marks the eighth consecutive annual dividend increase since the program was initiated in 2017. As Sean will discuss, we have also increased our share repurchase authorization. These actions reflect the Board's confidence in Acushnet's ability to execute and generate cash flow and their positive outlook towards the company's leading position within the golf industry. As you will continue to see, we are focused on investing to position the company for future growth while also returning capital to shareholders as appropriate. Now looking ahead to 2025, starting with a few industry data points that inform our planning and outlook. In the U.S. market, rounds increased 2% in 2024 to a record 543 million. Noteworthy is that these rounds were played across some 16,000 golf courses, a supply that is down about 1,500 courses since 2,000. Driving this participation growth is a golfer base that increased 6% in 2024 to 28.1 million golfers. This 1.5 million net gain represents the largest single-year increase since 2000, and the number of beginners top 3 million for the fifth consecutive year in a row. Given these metrics, it is not surprising that 70% of public facilities rate their financial health as good or excellent, versus 23% in 2016, and 80% of private golf courses report good or excellent financial health, versus 46% in 2016. Annual U.S. rounds are up over 20% since 2019, as is participation in the U.K., Canada, Korea, and Australia. Japan players grown 10% during the same period. Healthy golfer participation and in particular the strength of the dedicated golfer are the foundation for our perspective on the state of the global game and particularly in the U.S. Looking outside the U.S. we are planning for growth, however, continue to take a measured approach for while golf participation has been resilient, the macroeconomic backdrop in key regions continues to be more challenging. And while FX headwinds and tariff uncertainty are inevitable pieces of the planning process, we remain confident in our ability to execute against our priorities and what we can control. Starting with our growth plans for Golf Equipment, we are excited about new Pro V1 and Pro V1x golf ball models and expect increases across all regions. The first Pro V1 was launched 25 years ago and the past quarter century has been defined by innovation and our team's commitment to continuous improvement. While early in the season Pro V1 usage on worldwide tours is up to 77% more than nine times the nearest competitor. We are enthused about our opportunity and our team has developed some great campaigns to tell our story in 2025. For Titleist Golf Clubs, we carry healthy momentum into the year and expect to benefit from recent investments to our product development engine and expanded fitting networks across the globe. While our first quarter launch calendar is smaller than last year's, as is the case in odd-numbered years, we look forward to launching new Titleist GT hybrids, GT1 Metals, and a new lineup of Cameron Studio Style putters to start the season following the new irons later this year. We also expect growth from our Gear segment led by new Titleist products and the continued development of our Club Glove travel franchise in 2025. We are confident in our outlook for FootJoy, which anticipates a strong product pipeline and higher concentration of premium performance footwear products like Premier HyperFlex and Quantum Golf shoes leading to improved profitability. We expect FJ sales to be roughly flat for the year with organic growth offset by reduced closeout sales and strategic product line rationalization. After recent period of correction in global golf footwear, we see a healthier environment in 2025. In support of these priorities and longer-term growth opportunities, we plan to make several strategic investments in 2025 to build out our global fitting network for golf equipment and footwear, expand the reach of our B2B and D2C capabilities to new regions, and invest in the future of the Titleist Performance Institute or TPI, where we see expansion opportunities in the coming years. And we are pleased with recent capital investments in golf equipment, R&D and operations and are confident these projects will fuel enhanced innovation, product development and golfer connection capabilities, core attributes to the long-term success of Titleist Equipment. As noted on our last call, we recently completed the transition of our footwear manufacturing from China to Vietnam and expect this will lead to greater product development capabilities and a more durable supply chain. As Sean will address, we are also in the process of implementing a new global ERP system. Collectively, we expect these investments to support our future growth plans and generate increased operating leverage over the long term. And in summary, we are optimistic about the structural health of the golf industry and are focused on expanding our momentum in the Titleist Golf equipment segment, strengthening our Gear and FJ wearables businesses and investing in key initiatives that will pay dividends over the next several years. I have confidence in the Acushnet team and their ability to provide dedicated golfers with leading products and services as we seek to build long-term value for our shareholders. Thanks for your attention this morning. I will now pass the call over to Sean.
Sean Sullivan: Thank you, David. Good morning, everyone. To begin, I'd like to discuss a few items that have impacted the 2024 financials. First, as we discussed last quarter, I want to highlight the combination of our previous Titleist Golf balls and Golf Club segments into Titleist Golf Equipment segment. This new reporting structure best reflects the way in which we are now managing and allocating resources to the golf equipment business. As you can see in today's earnings release, we will still provide net sales detail for Golf Balls and Clubs within the financials. Next, the company made a change in accounting principle related to the presentation of distribution in shipping and handling costs, moving these costs from SG&A expense into cost of goods sold. Distribution expense is a cost essential to the fulfillment and delivery of our products to our customers and as such is more meaningfully presented as a cost of sales rather than SG&A. This presentation change also makes our financial statements more comparable to some of our closest industry peers. The impact of this change for 2024 and 2023 has been included in today's earnings release. Lastly, I want to point out that we recorded a one-time benefit to our income statement associated with a change in the company's paid time off policy or PTO totaling approximately $18 million in the fourth quarter. The amount of the benefit that is included in gross profit, SG&A, and R&D is $7 million, $9 million, and $2 million, respectively. The total amount has been excluded from adjusted EBITDA as noted in our reconciliation. Now turning to our 2024 financial results. Fourth quarter net sales were in line with our expectations and up 7.9% when compared to the fourth quarter of 2023 with higher net sales across all reportable segments. Adjusted EBITDA was $12.4 million, approximately $14 million better than last year's fourth quarter. Looking at our segments, Titleist Golf Equipment was up 7.4% in the quarter, largely due to higher sales volumes of our recently launched GT drivers and fairways along with higher average selling prices. These increases were partially offset by lower volumes of our second model year irons. FootJoy net sales grew 1.9% during the fourth quarter, driven by higher volumes in footwear. Golf Gear net sales increased 17.3% driven by higher sales volumes in travel product categories and golf gloves. Looking at the full year results in 2024, net sales and adjusted EBITDA increased 3.9% and 7.5% respectively, with net sales increases in our Titleist Golf Equipment and Golf Gear segments. Turning to results by region on Slide 7. In the fourth quarter, we saw net sales growth across all regions except Japan in the full year. The U.S. led the growth up 7.2% in EMEA, Rest of World and Korea were slightly up during the year. Japan was down 3.5% as higher net sales in Titleist Golf Equipment was more than offset by decreases in other categories. Overall fourth quarter gross profit of $208 million was up $27 million, or 15.2% compared to last year's fourth quarter with increases across all reportable segments. Reported gross margin of 46.7% was up 300 basis points. The impact from the one-time PTO benefit was 150 basis points on gross margin for the quarter. Gross profit for the full year was $1.2 billion, up 6% or $68 million, primarily resulting from increased volumes in Titleist Golf Equipment and Golf Gear. Gross margin grew to 48.3%, up 130 basis points from last year, primarily driven by a favorable product mix shift. The impact from the one-time PTO benefit was 20 basis points on gross margin for 2024. SG&A expense of $193 million in the quarter increased $9 million, or 5% compared to the fourth quarter of 2023 and includes a $9 million benefit related to the one-time PTO adjustment. SG&A expense of $802 million for the full year increased $46 million, or 6.1% from 2023, and includes the $9 million PTO benefit. The increase was primarily due to $18 million of restructuring costs related to our footwear manufacturing move to Vietnam, which is included in operating income but added back for adjusted EBITDA purposes. The increase was also impacted by higher employee expenses including the support of our golf equipment fitting initiatives, higher information technology-related expenses, and higher A&P expense related to new product launches. Interest expense was up $11 million for the full year due to an increase in borrowings and a higher weighted average interest rate in 2024. Our full-year effective tax rate was 19.2%, up from 17.8% last year. The increase in ETR was primarily driven by changes in our jurisdictional mix of earnings as well as changes in our valuation allowance. Moving to our balance sheet and cash flow highlights. Our balance sheet and cash flow positions continue to be very strong, allowing us to execute our capital allocation strategy with ongoing investments in the business and return of capital to shareholders being our highest priorities. Our net leverage ratio at the end of 2024 was 1.8 times. Our inventory levels remain healthy and we're down $40 million, or about 6%, from year-end 2023. Capital expenditures for 2024 were $75 million, slightly lower than our $80 million expectation for the year. As David noted, in 2024, we returned roughly $227 million to shareholders with $173 million in share repurchases and $54 million in cash dividends. Today we announced an increased quarterly dividend of $0.235 per share, which will be payable on March 21 to shareholders of record on March 7, 2025. During the fourth quarter, we repurchased approximately 440,000 shares of our common stock for $30 million, bringing our full-year repurchases to approximately 2.7 million shares for a total of $173 million. On February 13, 2025, our Board of Directors increased the share repurchase authorization by an additional $250 million, bringing the total authorization to $1.25 billion since the share repurchase program was established in 2018. As of February 21, 2025, the remaining share repurchase authorization was approximately $434 million and the number of shares outstanding was $59.9 million. Turning to our full-year 2025 outlook. Full-year net sales is projected to be between $2.485 billion and $2.535 billion on a reported basis, including an estimated $35 million negative impact from foreign currency year-over-year. On a constant currency basis, our current expectation is that consolidated net sales will be up between 2.6% and 4.6% compared to 2024 with growth across all reportable segments as well as growth both domestically and internationally. Our full-year adjusted EBITDA is expected to be between $405 million and $420 million and includes the estimated negative impacts from foreign currency. At the midpoint, our adjusted EBITDA margin would be approximately 16.4%. This outlook does not reflect the impact of any recently announced tariffs by the U.S. or potential retaliatory actions taken by other countries as the tariff and trade environment remains uncertain at this time and continues to evolve. As we have previously mentioned, we source about 6% of our cost of goods sold from China and have limited exposure to Canada and Mexico. The China 10% incremental tariff would equate to an approximately $7 million headwind. We are actively exploring actions to mitigate this impact, including leveraging our supply chain and potential pricing actions. As we remain committed to driving sustainable long-term growth, we are investing in the business through many strategic initiatives extending into 2025 and beyond. As David mentioned, this includes investments in our global fitting network across both our Titleist Golf Equipment and FootJoy segments and expanding our global digital commerce presence. We are also in the process of a multiyear implementation of a new global cloud-based ERP system to provide scalability, simplified, standardized processes and enhanced supply chain and finance capabilities. We anticipate this new global ERP platform will enable further operating efficiencies and support our digital transformation. As a result of these key strategic initiatives, we expect full-year 2025 SG&A growth to be higher than our sales growth projections. These initiatives are critical to delivering long-term sustainable growth and operating leverage in the years to come. We expect capital expenditures for 2025 to be approximately $85 million. In addition, we expect to invest $15 million to $20 million in capitalized implementation costs associated with our worldwide ERP platform. Looking at the first half of 2025, we expect reported net sales to be up low single digits compared to the first half of 2024, with growth primarily coming from Titleist Golf Equipment, driven by the new Pro V1 launch and continued momentum of our GT Metals product line, including the launch of the GT1 drivers and fairways and GT hybrids. We expect adjusted EBITDA to be slightly lower than the first half of 2024 due to increased operating expenses and the estimated negative impacts from foreign currency. From a quarterly standpoint, we expect net sales and adjusted EBITDA to be more weighted to the second quarter. This is different than last year's cadence due to the outsized impact of Vokey wedges launched in the first quarter of last year. On a reported basis, we expect first quarter net sales to be below prior year as we are forecasting a $10 million to $15 million foreign currency headwind. We would also expect this currency headwind to have a negative impact on adjusted EBITDA in the first quarter. In closing, we are pleased with our performance in 2024 and remain focused on executing on our priorities in 2025 and beyond. With that, I'll now turn the call over to Sondra for Q&A.
Sondra Lennon: Thank you, Sean. Operator, could we now open up the lines for questions?
Operator: [Operator Instructions] Our first question today comes from Joseph Altobello from Raymond James. Your line is now open. Please go ahead.
Joseph Altobello: Thanks. Hi, guys. Good morning. I guess first question on the quarter, the gross margin up 300 basis points. I think the PTO benefit was half of that, so, and I apologize if I missed this. What drove the other half of the improvement year-over-year?
Sean Sullivan: Yes, Joe. Just continued performance in the Golf Equipment segment, we had growth across all of the product segments on the top line. I think we've got a more normalized supply chain moderating freight distribution environment, which allowed us to deliver incremental gross margin for Q4.
Joseph Altobello: Okay. And shifting over to the investments you guys called out this morning. Is there a way to quantify how much of that is hitting in '25 and should we think of those as sort of one-time in nature, or are they going to continue going forward?
David Maher: Yes, I don't know that we quantify how much hits in '25, Joe, but we did call out a handful of that will be outsized in '25 and normalize in the out years.
Sean Sullivan: Yes, I think, Joe, again I just point you to the guide gave you on revenue and adjusted EBITDA. We do think that 2025 brings a consistent or expanding gross margin for the company in total. We talked a bit about the SG&A and delivering an EBITDA - excuse me, EBITDA margin, generally in line with where we're at today. So, obviously, the global ERP is a multi-year. Building out the fitting network globally is something that we will continue to do. But obviously, as you see, given the performance of the golf equipment segment has and yields tremendous benefits. So I'll leave it at that.
David Maher: Yes. And I just said, we've talked for a while, Joe, about the buildout of our digital capabilities, the buildout of our fitting network. At some point they'll be built out, right? This is us taking our efforts to new markets. And again, at some point, they will be built out. We think we're spending, investing in '25, but in '26 and '27, we should be closer to the buildout phase than we are now.
Joseph Altobello: Okay. Very helpful. Thank you.
Sondra Lennon: Thanks, Joe. Operator, next question please.
Operator: Of course. Our next question comes from Megan Clapp from Morgan Stanley. Your line is now open. Please proceed.
Megan Clapp: Hi, good morning. Thanks so much. I wanted to start with the top-line guide, Sean. You gave a lot of helpful commentary on the first half. But as it relates to the full year midpoint in constant currency, up 3.5%. Should we expect your commentary around the first half to be consistent with the full year in terms of most of the growth is coming from golf equipment. And within that between Balls and Clubs, understand you're not going to disclose the difference between the two going forward, but could you just help us understand how you're thinking about Balls versus Clubs in the context of the overall Golf Equipment guide for the year?
Sean Sullivan: Sure. And just to clarify, we will be continuing to give you sales information for Clubs and Balls separately. So you're not losing that. It's really the aggregated segment, P&L through OI that will be aggregated. So as we talk about the guide Balls, again, it's a Pro V1 launch year, so I would expect a large part of the growth in Balls to be first half versus second half. At the same time, the Club business, as David and I talked about, we've got some upcoming launches with the Cameron putters as well as the GT1 and the GT Hybrid. So, and then irons later in the year. So, I would expect the growth in the Club business to be more weighted to the second quarter. But, overall we feel very good about the growth in the Golf Equipment segment for the full year. You didn't ask this question, but again, FootJoy is very much focused on profitability as we've gone and taken some pricing actions, some product line rationalization and really are more focused on driving higher profitability with a more premium appropriate offering in that segment. So I don't know if that's helpful color or context to the overall guide, but those are some of the thoughts that are impacting. Again, the foreign currency headwind is obviously a real one.
Operator: Our next question comes from Matthew Boss from JPMorgan. Your line is now open. Please go ahead.
Matthew Boss: Great. Thanks. So maybe David, if you could elaborate on current health of the Gulf industry, maybe in the U.S. versus International and just how you see that translating to rounds played in '25 and sustainability of the trends that you're seeing today.
David Maher: Yes, Matt, so I'll start with rounds of play, right. Really strong year in the U.S. given all the inputs, whether it's new golfers capacity, et cetera. Our general approach, and this wouldn't differ given particularly we're coming off a record year, would be to think about rounds as being flat and then mother nature does what she does and that pushes you up or down. But the golfer supply, the participation rates are healthy. So we've been doing this for a long, long time. In my time here we generally think of rounds as flat and then that informs our planning process. Again, when we get good weather we'll see upward ticks, when we get poor weather we'll see it go downwards. But I will point to just the inputs that inform our thinking, and I made a couple of these comments in my prepared remarks around the golfer supply and the golfer base. So generally a healthy golfer base that is the starting point to our thinking. In terms of Rest of World, the trends are similar, the dedicated golfer behavior is similar, but macroeconomic conditions have not been as robust. They were softer in '23 and '24, and we expect similar conditions in '25. That said, we are planning for growth outside the U.S. in our business. So part of that's new products, part of that share, et cetera. So high level, we like what we see from a golfer perspective. We like what we see from a participation perspective. There's always an element of caution baked into our planning, whether it's U.S. and tariffs and inflation or ex-U.S., particularly in Japan and Korea. And the final area I look at is what does the market look like. Certainly the Greengrass Channel globally is very healthy. Our retail partners, off course, are healthy as well. And inventories are in very much a normal place for this time of year. And we were asked - we've been asked over the last couple of weeks about January sell through. And my key takeaways from January sell through, which was generally positive, was that pricing held up pretty well. And what you sometimes see in January is you see some real price pressure as retailers and OEMs sometimes clear the decks to prepare for new product launches. We didn't see that in January. So Matt, threw a lot at you there, but some review. Golfers still in pretty good shape. The macroeconomic pressures as well as I do. We feel better about the U.S. than we do in Japan and Korea. That's not different from the last couple of years. And again, our retailers are in a generally healthy spot. So I think the summation of all that is our guide. And we're projecting growth in segments and growth in all regions, albeit a little faster pace than the U.S.
Matthew Boss: Great. Maybe - and then, Sean, just on gross margin, is - could you walk through puts and takes to consider this year and just health of channel inventory in the U.S. versus overseas today?
Sean Sullivan: Yes. Just to add on, I'll take the second one first. I think the health of the channel inventory is very good. We obviously have worked through the FootJoy apparel and footwear that we've been talking about probably for several quarters internationally, but we feel very, very good about the health of the channel inventory for '25. As it relates to gross margin, I'll talk a bit on the top line. Certainly, we didn't raise pricing on Pro V1 in the U.S., but we did take pricing action, I think in three or four of the international markets. You're aware of the pricing we took in the Club business, et cetera, will do similarly in certain product categories within FootJoy. So I think there's an element of higher ASPs coming into 2025 as it relates to cost of goods sold and distribution. As I said, the supply chain feels normalized. I think the freight environment, freight in, freight out, is a little more normalized with no longer the threat of strikes, et cetera. We are continuing to see the benefits and efficiencies of our owned and controlled distribution center here domestically in Massachusetts, which I expect would continue to drive incremental efficiencies and leverage in the business. So overall, we feel about the gross margin environment, as I said, meeting and expanding relative to '24 in the 2025 period.
Sondra Lennon: Thanks, Matt. Operator, next question.
Operator: Yes. Our next question comes from Mike Swartz from Truist Securities. Your line is now open. Please go ahead.
Michael Swartz: Hi, good morning, guys. Maybe just to follow up to Matt's last question, I think with the global outlook, it sounds like you're thinking kind of flattish status quo. Sounds like you're taking some pricing. How do you think about just in that organic growth outlook, just the view between maybe unit volume and pricing? Is most of that pricing, or are you looking for some unit volume growth as well?
David Maher: Yes, I would say it's a combination of the two. I often refer to our product launch life cycle calendars. It's a Pro V1 year. If I look back, I think we were up double digits in '23. We had a nice ball year last year, which is not always the case in a year following a launch year. But we would certainly see a combination of unit growth and pricing, particularly on the equipment side, Mike, maybe a little bit of a different story in the rest of our business, which would be probably more level volumes, but a bit more price on the gear and wearable side.
Michael Swartz: Okay, that's helpful. And then just with the tariff commentary, just maybe a little more context there. I think you had said your guidance doesn't include any potential tariffs or retaliatory actions. But then I think you also said that it's about a $10 million or, sorry, a $7 million hit on the incremental 10% coming out of China. Does the guidance actually include that $7 million or not include that $7 million?
Sean Sullivan: Yes, Mike. It does not include. I just think the environment is fairly dynamic right now. So we thought to be reasonable and prudent was to highlight what we saw as the potential risk and isolate it for everyone as opposed to baking it in. So as we go forward here, we can update you each quarter. But again, I think that the important points for the investor base is that we have minimal exposure to Canada and Mexico, given our operations. We've done a wonderful job with our supply chain in having, for one example, moving to Vietnam with the footwear production, which was completed and is fully operational here in '25. So I think to have 6% exposure of cost of goods sold to China, I think is a good place for us to be. You can imagine we're working with the teams to evaluate the supply chain, other geographic sourcing options, as well as any potential pricing actions to mitigate that. So that's our best outlook today and felt best to exclude it from the guide. And, we've quantified it for you, and we're hard at work looking for ways to mitigate.
Michael Swartz: Okay. Helpful. Thank you.
Sondra Lennon: Great. Thank you. Operator, next question, please.
Operator: Thank you. Our next question comes from JP Wollam from ROTH Capital Partners. Your line is now open. Please go ahead.
John-Paul Wollam: Morning, everyone. Thanks for taking my questions. If we could maybe just start kind of assessing the ball here, I just wanted to maybe click in on - I know you said that, I think it was – [technical difficulty] what else can we talk about kind of how that held up in the year and where that growth came from? And it's really just as I think about kind of how well it could do in the launch year going forward [technical difficulty] new channel - new opportunity that arose in 2024?
Sondra Lennon: JP, you just broke up a bit. So I don't know that we got your entire question.
John-Paul Wollam: I'm sorry. Can you hear me all right?
Sondra Lennon: Yes, that's a little bit better.
John-Paul Wollam: Perfect. Really. Just assessing the Pro V1 strength in 2024, and kind of what that can tell us about, just how strong of a launch year we can have in 2025.
David Maher: Yes. Okay, JP, thanks. As I said, this just to walk it back a bit, we're in year '25 of Pro V1, which we're incredibly excited about, and I said it earlier, it's a journey of innovation and continuous improvement. We take that initiative in charge very seriously. So on the product side, we're very excited about Pro V1. Counts around the worldwide tours are up to 77% which is higher than we would typically see. And we point to the performance and quality of the Pro V1 as a key driver to that. In terms of the last couple of years and what it means for 2025, it starts with product. It is followed by we talk a lot about expanding our fitting networks. That's not just clubs, that's balls too. We've got a whole lot of ball fitting happening around the world that we think pays off. It's the positioning of AVX within the line. It's our performance model. So it's not just Pro V1. And again, it was a terrific year for us to grow on the heels of a 13% increase in 2023 in golf balls, to do so in '24 when you think about the pipeline realities that happen in a launch year that don't repeat in a non-launch year. So I'll get to 2025 and really it's a product story. It's a fitting story. It's a - the team is committed to really telling our story well, part of our investment in 2025 is in A&P to tell the great story that we think we have to tell as we look to expand our reach in the golf ball marketplace. So we are anticipating and planning for growth. As Sean said, a lot of that will be first half. But we're anticipating and planning for growth in 2025. It won't be the double digit level. We're not planning for the double digit level we saw in 2023, our last launch, but we're certainly planning for nice growth in the golf ball franchise. It's - if there's one takeaway from today, it's the health and vibrancy of our equipment segment, balls and clubs and our willingness to continue to invest behind those franchises, to continue to grow them.
John-Paul Wollam: Great. Thank you. And one follow up just on FootJoy. I know you mentioned kind of a skew rationalization and maybe some price, but can you just share what else gives you confidence that maybe we've kind of troughed in that business?
David Maher: Yes, I think it starts, you hit it. It's what we're - the actions we're taking and there's some skew reduction, there's some line rationalization, but more than anything it's the new product pipeline we have on the footwear side. We've had some outsized growth in apparel. We that business is in really good shape. So the things we're controlling we think are very positive. This also underscores the reality that the last couple of years in footwear have been very tough. I think global footwear, or at least footwear sell-through in the U.S. was down upwards of 10% last year. And I think that we're at a point where the footwear marketplace has corrected. I think it's going to normalize a bit in 2025, which should provide a better backdrop for us to execute our strategy. And again, the strategy really leads with premium performance product. I mentioned Premiere. We're launching Hyperflex next week. We launched Quantum a few weeks ago. High performance products that we think have meaningful points of difference both in terms of performance benefit and style. So like the actions we're taking, and I think the marketplace is going to be healthier. And we see that in inventory data. We called that out in the U.S. We saw it improve last year. We thought it would take longer ex-U.S. to improve and it has. But we're approaching 2025 for the first time in a couple years as though the footwear market will be normalized.
John-Paul Wollam: Great. Thank you and best of luck going forward.
David Maher: Thanks, JP.
Sondra Lennon: Thanks, JP. Operator, next question.
Operator: Our next question today is from Noah Zatzkin from KeyBanc Capital Markets. Your line is now open. Please proceed.
Noah Zatzkin: Hi. Thanks for taking my questions. I guess first, just wondering if you could kind of provide any thoughts around the competitive environment looking out to 2025. I know some others have kind of pointed to maybe a more robust launch calendar in terms of industry product launches than in recent prior years. So just wondering if you had any thoughts there. I know you also kind of pointed to maybe promo kind of in-check in January, but just any thoughts on promo looking out as well? Thanks.
David Maher: Yes. Real time data promos in check in January. That's the best way to think about it. We're on a little bit of a different calendar than most of the market. We launched our driver in Q3. A lot of our competitors launched products in the first part of the year. We see the market as very competitive as it always is. So I'm not sure I see it meaningfully different from years past. It does sort of prompt me to remind everybody of our dedicated golfer focus and that we're a bit more narrow in our approach and reach and sometimes that allows us to be less susceptible to the broader market. The broader market competitive forces in terms of going after a broader base of the marketplace. But it's competitive, it's competitive in drivers, it's competitive in Balls. I'm not sure it's any more or less competitive than it's been in years prior. What we will watch, given all this, is what happens to pricing in the months ahead. And really in Q2, Q3, when all the product that arrived in the market, right, the winners will march forward and hold price and others will maybe has to take some pricing action. So again, I don't see this as an extreme outlier year. I see this as a typically competitive environment and that's how we're approaching things. And again, data point of one month, but promotional activity seems to be in check and normalized and at minimum, no worse than what we saw a year ago.
Noah Zatzkin: Great. That's really helpful. And then maybe just one on Korea. I think the results were pretty strong during 4Q, but you kind of flag that as kind of a market that you are watching. Just maybe any update there in terms of kind of the state of play on the ground and how you're thinking about that piece of the business. Thanks.
David Maher: Yes, so Korea is a terrific market, right. Rounds up 20 some odd - 22% since 2019. I think they were down 2% or 3% last year. They had some tough weather early, but it's a resilient, vibrant golf market, yet their consumers under some duress, it has been for a little bit and they've got some political unrest that just we're watching. As we think about Korea, I would characterize it this way. We're bullish on equipment as we have been. A lot of our Korea commentary has been built around the wearable space and that market went through a ride in the early 2020, '21, '22, some exponential growth in premium, super-premium apparel, and we've seen a correction in that space. So as you know, we have a sizable apparel presence in Korea, our Titleist Apparel franchise and that entire segment of premium apparel has been soft the last couple of years. So as we think about Korea, feel stronger about equipment than we do apparel. And it is an outsized apparel market just for the size of it. That said, we think another year of correction should put it back to a path of normalcy. But in terms of the dedicated golfer in that market alive and well and we're confident in their continued resilience, but there are some macro forces and really the outsized impact of wearables in that market. And that's really been the root of our caution in the last couple of years and into 2025.
Noah Zatzkin: Great. Thank you.
Sondra Lennon: Thanks, Noah.
David Maher: Thanks, Noah, and everybody. We appreciate your time and interest and attention on the call. Hope you have a great spring. And we look forward to catching up on our next call.
Operator: That concludes today's call. You may now disconnect your line.